Operator: Good morning, ladies and gentlemen. Welcome to the First Quarter 2013 Simpson Manufacturing Co., Inc. Earnings Conference Call. This conference call -- the company may discuss forward-looking statements, such as future plans and events. Forward-looking statements, like any prediction of future events, are subject to factors which may vary and actual results might differ materially from these statements. Some of these factors and cautionary statements are discussed in the company's public filings and reports. Those reports are made available on the SEC's or the company's website. Please note, today's call may be recorded. Now, I would like to turn the conference over to Tom Fitzmyers, the company's Chairman. Go ahead, sir.
Thomas J. Fitzmyers: Thank you. Thanks, everyone. Good morning, and welcome to Simpson Manufacturing's first quarter earnings call. Our earnings press release was issued yesterday. It's available on our website at simpsonmfg.com. Today's call is also being webcast, and a replay of that webcast will be available on our website. As usual, joining me in Pleasanton for today's call are Karen Colonias, Simpson's CEO; and Brian Magstadt, Simpson's CFO. I will start, followed by Karen and Brian, and then we will be delighted to take your questions. As you as you can see in the press release, we have again included information about segment sales and profits, which we have previously discussed on the earnings call. And they're now part of our quarterly or annual report filings that follow. Housing starts are up and this should mark the turning point for building products. Simpson, along with other building material suppliers, will benefit from the housing recovery. As we mentioned in the past, our building products will lag starts but we are beginning to see an improvement as we look at our April numbers. Our foundation products, a leading indicator for us, are up low double-digits over the last 4 months of the year. However, unlike other building material suppliers, many of our products are not used in every house, depending on geographic locations. The quarter sales were negatively impacted by inclement weather in many markets where we operate, especially the northeastern part of North America and all of Europe. Last year, weather was not an issue. The European financial uncertainty is also affecting our operations. Sales were flat in North America, despite price reductions we took in the latter half of 2012, and the loss of Lowe's in May of 2012. Lowe's accounted for over $6 million in sales in the first quarter of last year. Home Center Business excluding Lowe's was down 13% for the quarter. North America operating products were down $2.6 million, due to lower gross profits, primarily from the price decrease and unabsorbed factory and tooling. Europe's operating loss increased $1.8 million due to lower gross profits, and as we mentioned last quarter, about a likely impairment, that's the $1 million charge of the Irish real estate. Speaking of Ireland, we have the moved the majority of the remaining assets, and we're preparing the building for rent or sale, depending on the best use for that facility. Asia Pac had an increase in Q1 sales, hoping to improve our gross profit, but the revenue is not yet enough to have a positive impact on the operating income line. We continue to have a very strong financial position that gives us a lot of flexibility. Now I'll turn the call over to Karen.
Karen W. Colonias: Think you, John. We're starting to see progress on our recent acquisitions in our European operating segment. Our plan for S&P was to take their products to new markets and we've done that by expanding into France. France is the second largest economy in Western Europe with needs for infrastructure and road repair. France requires high quality, code accepted products and this fits well within our strategy to differentiate our product line. Already, we are seeing the benefits of having the S&P products and our technical sales engineers in this market. In our North America operating segment, we are targeting the Builder Components Manufacturing Conference, being held in October, for our next major truss software release. We are developing software in stages. This will allow us to target customers with the varying needs while at the same time, continuing to provide enhanced features which will open up more market to us. We have a roadmap for improving our software that will take us a few years. And we want the software to provide the features and benefits the industry is requesting. We are anticipating that the next few years will be an exciting time for the company in the integrated component systems industry. We believe that this is over a $5 million market at today's housing starts -- sorry, excuse me, over $500 million market at today's housing starts. We are continuously reviewing our operations around the world to ensure our resources are focused on earnings returns that are satisfactory to us as well as our shareholders. We are always looking to improve our operating results and reviewing our strategy to ensure they are aligned. We have, in the past, taken steps to improve operations or to divest if a unit our business no longer fits our company's strategy. The 2 most recent examples are Dura-Vent in 2010 and Liebig last year. Neither of these 2 operations fit our long-term strategy, so we exited those businesses. To repeat from prior calls, we manage our business from geographic segment perspectives. You've seen this on our recent 10-Qs and 10-Ks. Within those regions, we have 2 broad categories: wood construction products and concrete construction. Wood products are comprised of connectors, fasteners, shearwalls and truss plates. Concrete products include adhesives, mechanical anchors, specialty chemicals and other repair and strengthening products. The plated truss business and the recently acquired ShearBrace assets fall under the wood construction. Box, carbon wrap and S&P are categorized as concrete. We are just over a year into the integration of most of these new lines. Some are progressing faster than others. These new product lines are essential to help us diversify our product offering. The businesses acquired bring products that are highly specified and have worldwide applications. As always, we are dedicated to our core products and we work hard every day to ensure that we continue to meet our customers needs for service, support and product availability. I'd now like to turn the call over to Brian, who will share some additional financial information.
Brian J. Magstadt: As noted in the earnings release, Q1 2013 gross margin was 42.0% compared to 43.7% in Q1 of last year. The relative sales mix of the 2 product groups affected gross margins and that we sold lower margin concrete products relative to the total, 14% this quarter compared to last Q1 at 13%. That is compared to the higher margin wood construction products which went to 86% this quarter as compared to 87% last Q1. Also mentioned in the press release, the margin differential of wood to concrete products is 15% this quarter compared to 18% last Q1. The wood products margin was affected more by the price decrease than was the concrete products. We previously estimated gross margin for the year 2013 to be in the 42% to 43% range, and we believe that is still the case. Now that it has been over a year with our recent acquisitions, their operating results are fully integrated into our system. Truss, Fox and CarbonWrap are in the North American segment results and S&P is in the European segment results. We continued to invest in our recent acquisitions. R&D and engineering spending is approximately $1.5 million going toward developing the plated truss software offering, consistent with what we mentioned last quarter. What's different this year is that this group is now Simpson employees versus last year, we were paying Keymark fees for software development services. We feel we have much more control over our own destiny now that the group is in-house. Cash profit sharing is a function of operating income and return on assets and it decreased $1.8 million compared to last Q1. The amount of the cash profit sharing decrease included in operating expenses was about $1.5 million in Q1 2013. Regarding taxes, we continue to have nondeductible foreign losses affecting the tax rate. This quarter, it was about $2 million that we did not take a tax benefit on. The Irish real estate impairment, which has no tax benefit today, was nearly 5% of the tax rate. And we reaffirm our annual estimate for 2013 to be in the 41% to 42% range. 2013 CapEx is looking to be around $29 million. Again, consistent with what we've mentioned last quarter. Q1 2013 CapEx spending was nearly $5 million, primarily for manufacturing equipment in the U.S. and IT hardware and software. For 2013, depreciation and amortization expense is expected to be $26 million to $27 million, of which, $20 million to $21 million is depreciation. Intangible amortization expense in the quarter increased by $0.2 million compared to the prior year, all in admin expense, due primarily to the acquisitions of the Weyerhaeuser ShearBrace assets and the software development team in Boulder. Before we turn it over to questions, I'd like to remind you that if you'd like further information, please contact Tom at the phone number listed on the press release. Also, look for our Form 10-Q to be filed in the next couple of weeks. We'd like to now open it up to your questions.
Operator: [Operator Instructions] We'll go first to the side of Peter Lisnic with Robert Baird.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: I guess the first couple of questions on gross margin if I could. Just on the price impact you mentioned that was a material factor in the wood piece of the business. Can you give us a sense as to what that headwind was from a price perspective on wood?
Brian J. Magstadt: Peter, this is Brian. It was mostly wood, there may have been some concrete products, but on the wood side, we estimate about $4 million would have been the price impact.
Steven Chercover - D.A. Davidson & Co., Research Division: Okay, all right. And presumably, as we go through the year, does that headwind sort of abate? Or can you give us a feel for kind of how that might move through the remainder of the year?
Brian J. Magstadt: Well, we took that decrease in the latter part of '12. So we'll see that comparable throughout, at least the first half of the year.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: Okay, all right. And then, strategically, with the market doing what it's doing, stronger demand and presumably the competitive landscape getting better, is there something that you can do to improve that price cost relationship, if that's the right way of describing it, in the back half of the year and into 2014?
Karen W. Colonias: Well, from a cost standpoint, obviously, as our volume increases, that's going to help our absorption. We're certainly looking at all elements associated with cost from our lean initiatives, as well as our raw material purchases. We do a lot of work on our supply chain for our items that we buyout. So we'll, at that point, be trying to control all issues when it comes to the cost standpoint.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: Okay. Then how about on the pricing side, I mean is the competitive landscape just at the point where it remains somewhat difficult to perhaps increase price in the back half of the year or into 2014? I mean, I would assume that you'd have a pretty good umbrella to do that, given the strong demand that's out there, but I'm just wondering if competitively, that the pressures are too significant to be able to do that?
Karen W. Colonias: Yes. Well, I think competitive pressures, as we look at 2013 would probably pretty tough for us to do some sort of price increasing. That may change as we get into to 2014, but certainly, I think it'd be a difficult situation for our suppliers and our distributors in the 2013.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: Okay. All right. And then last question, just on gross margin. The compression in the gross margin wood versus concrete, so it shrunk from an 18-point spread last year's first quarter to 15 this first quarter, so making good progress there. Can you just give us an idea of how that's occurring, is that just volume or is it mix, taking cost out? Just some idea of kind of how that trend is working in your favor?
Brian J. Magstadt: Yes, Peter. This is Brian. So price had a little bit to do with that on the wood side, of course, so that brought that down and then the mix on the concrete side helped bring that one up a little bit.
Operator: We'll go next to the side of Steven Chercover of D. A. Davidson.
Steven Chercover - D.A. Davidson & Co., Research Division: It's just -- I'd like to understand, I guess, a bit more why your sales are lagging starts so materially? I understand you're not really used in foundation work but it just occurs to me that the whole pie is getting bigger and therefore, why is your -- even if your slice is proportionally smaller, why do we see no growth?
Brian J. Magstadt: Well, in the U.S. -- this is Brian, Steve. In North America, if we pull out the comparables with having Lowe's business in there last year and the price decrease, we would see volumes up there. And in Europe, we're still struggling with the economy there and such. And weather did have a pretty big impact this quarter versus last quarter -- last year. Last year, we had great weather around all of our system and this year, even at North America, we had some pretty significant weather impacts. But we are seeing some improvements as we move into -- into April on our sales. So...
Steven Chercover - D.A. Davidson & Co., Research Division: The loss of Lowe's, was that strictly due to competitive pressure? I thought to a certain extent, the margins weren't good. So you never want to lose business, but doing business for practice isn't the reason why you show up either?
Thomas J. Fitzmyers: Well, with -- this is -- it's Tom. We spend a lot of time thinking about that and we don't like to lose business either. But we just didn't feel that the requests they were making from a pricing standpoint fit our long run strategy. And so we declined to move forward on what they wanted us to do from a price reduction standpoint. It's almost that simple.
Steven Chercover - D.A. Davidson & Co., Research Division: Yes, I mean, I would think that's good for margins. To the extent, I mean, I'm not sure if it will be the long-term way things pan out, but if Americans are moving more towards multifamily structures, do you have a strategy to have your content per start continue to rise in multifamily? Is that what concrete is all about?
Karen W. Colonias: Well, let me -- see this -- kind of let me mention one thing. So one of your questions was the lag and as we mentioned, we are seeing -- we use our embedded products into the foundation as one of our leading indicators as to what we should see in the future, and we are seeing an increase in those concrete products. Those concrete products will be used both in residential and in multifamily. So we have -- we are seeing a slight uptick on the business, based on what we're seeing from these embedded products. On the multifamily, we have a complete line of products that are used in multifamily. And depending on how those structures are built, there's the opportunity to use a significant amount of our joist hangers and our fasteners and also our anchor systems products. So we have a group that focuses on multifamily as well as single-family residential. And by that, I mean, our sales people. And certainly, that is a market that we're keeping high watch on and ensuring that we've got a good part of that business.
Steven Chercover - D.A. Davidson & Co., Research Division: Okay. Because certainly the folks who make engineered wood products, the Boises and Weyerhaeusers of the world, are seeing their volumes or expecting their volumes there to pick up. So that's hopefully that's what you're seeing better trends in April.
Operator: We'll take our next question from Robert Kelly from Sidoti.
Robert J. Kelly - Sidoti & Company, LLC: Last couple of quarters you gave us a look at the acquired sales, what they were contributing or are taking away in EBIT. Could you give us an update where we are with the acquired businesses, what their profit contribution is for 1Q?
Brian J. Magstadt: Well, Robert, the reason we had been doing that was for comparative purposes because they were affecting the 2012 results, but they weren't in the 2011 results. So this year, they're in both quarters and that's why we've -- we hadn't had or we don't have that information to disclose. It's not materially different than it was last Q1, though.
Robert J. Kelly - Sidoti & Company, LLC: So the losses are pretty steady with a year ago?
Brian J. Magstadt: They're similar.
Robert J. Kelly - Sidoti & Company, LLC: Okay, point of clarification, in Europe, the operating profit was down to $4.2 million, but $1 million of that was the write down of the Irish real estate?
Brian J. Magstadt: Correct.
Robert J. Kelly - Sidoti & Company, LLC: Okay. As far as the North American big box channel, you said ex Lowe's, the business is down 13%? Or is that including Lowe's?
Brian J. Magstadt: No, ex Lowe's.
Robert J. Kelly - Sidoti & Company, LLC: Okay. So what describes what's going on there? I mean, why is your -- the business that you're sticking with, I guess, strategically, down so much?
Brian J. Magstadt: We think that, again, I hate to go back to it, but we think weather had a pretty good impact with a lot of those customers in North America last year. They may have had more product moving through the stores because of more favorable conditions, whereas this year, a lot of the Northeast and Midwest had some pretty severe winter conditions. So we believe that may have impacted it.
Robert J. Kelly - Sidoti & Company, LLC: Okay, you kind of referenced in your prepared comments that the connector -- I'm sorry, the foundation products were picking up in April. Are you seeing a similar bounce back in the Home Center channel that would suggest that it was in fact weather hurting you in 1Q?
Brian J. Magstadt: That's correct.
Operator: [Operator Instructions] We'll take our next question from Barry Vogel with Barry Vogel and Associates.
Barry Vogel: If going once back to the home centers, you got largest customer, how did they do in the quarter?
Brian J. Magstadt: Give me just a minute, this is Brian. They were down about 11%.
Barry Vogel: So the same factors that affected all the home centers affected them?
Brian J. Magstadt: Correct.
Barry Vogel: Now, when you get -- on these gross margins, I recall last year that there were a lot of, what we could have called, unusual items as the year progressed, they were acquisition related expenses, they were impairment charges, they were step-up costs and general acquisition costs. They were severance costs, a lot of stuff and there was Ireland exit cost, so a lot of that stuff. When you give us these gross margin figures, do any of those things that I will consider unusual and not ongoing, are they included in those gross margins figures or are they excluded?
Brian J. Magstadt: They're included.
Barry Vogel: They are included.
Brian J. Magstadt: So the gross margin figures include any of those atypical charges that we would've had.
Barry Vogel: Okay, so that means that they are onetime in nature. I'm looking at '12, in 2012, they would -- the gross margins would be higher for 2012, if we subtract these things as onetime situations, is that correct?
Brian J. Magstadt: Yes.
Barry Vogel: Okay, so therefore the declining gross margin on an apples-to-apples basis, looking at the first quarter of '13 both in Europe and in North America, probably the decline is worse. Does that make sense?
Brian J. Magstadt: We would agree with that.
Barry Vogel: Okay, okay. Now going back to the dead horse of sales growth, because it's been beaten around -- or 2, 3 of my colleagues have beaten you to death on that. I was a little surprised on that because in North America, your sales gained 9.9% in the fourth quarter of '12 and that wasn't a terrible improvement, and I would think that Lowe's was in there, because Lowe's, I think, occurred in the second or third quarter of last year. I'm not sure exactly how much Lowe's was in there. So can you give me other comment about the -- can you just give us a little more color on what you're seeing in April other than just saying they're improving?
Brian J. Magstadt: Well, it's -- yes, we're a few weeks in, I mean, they're looking pretty good. I mean, there -- April look would be up. Let's say, low double digits.
Barry Vogel: Okay, now, [indiscernible] questions. I have one more question. As far as the effect on Liebig pulling out, how have they affected or maybe not affected the first quarter's profitability versus last year's profitability in Europe?
Brian J. Magstadt: Let's see if I've got that, hold on just a second. I don't think it would have been, on gross profit, a material difference.
Barry Vogel: How about in operating profit?
Brian J. Magstadt: Let's see, bear with me just a second, Barry. I'm not sure if -- so, operating, Liebig in Q1 of '12 had a little less than $1 million on loss on the operating income line.
Barry Vogel: And in 2013, was it gone?
Brian J. Magstadt: I mean, we were doing some clean up activity. It was minimal activity there, so no significant impact.
Operator: Our next question comes from Arnold Ursaner, CJS Securities.
Arnold Ursaner - CJS Securities, Inc.: You had a pretty sizable drop in your cash and a pretty big increase in inventories and in your prepared remarks, you indicated you thought that the price of steel would be moving up sharply in the second and third quarters. Is there a relationship between the 2 changes?
Brian J. Magstadt: Well, on the -- this is Brian, Arnie. On -- I'm looking at cash. When we look at the total changes in all of the asset and liability accounts and I'm doing the change from March 31 of last year through this year, so that -- basically, that rolling 12 months. Total change in the asset liability accounts was about a $35 million decrease, and that's among inventories, A/R and such. Some of the other impacts to cash were CapEx, again, on the rolling 12 months, about $23 million. Asset acquisitions or businesses acquired, about $14 million. And then we paid about $30 million in dividends. And we got to remember, we actually had an extra dividend that we paid, that we won't pay in Q2, so there's about $6 million that will come -- we won't have going out. So I'm not sure if that answers your question, but...
Arnold Ursaner - CJS Securities, Inc.: Well, I was looking at it more on the year end versus the current quarter.
Brian J. Magstadt: All right. Cash provided by -- used in operations for the quarter, was about $18 million. And then we -- between CapEx and asset acquisition, about $10 million. And then again, about a $6 million dividend paid.
Arnold Ursaner - CJS Securities, Inc.: Okay. And then going back to the software expense and the fact that you mentioned you will have a major software release in October. Is part of the reason it will be October the fact that most of your customers wouldn't put in software increases in the middle of their season? Or is it just taking you longer to create the -- a software program that you're comfortable with?
Karen W. Colonias: Arnie, this is Karen. The Builder Component Show, which is always held annually in October, is usually the showcase opportunity for that industry to be able to show new products and new software. So we are really targeting that. It's an opportunity to have most of the industry at that show to be able to see where your improvements and enhancements have come from.
Arnold Ursaner - CJS Securities, Inc.: Okay. And then going back again to the steel price increase you expect in your gross margin assumption and the competitive environment. If your prices still goes up normally, you would raise prices to offset that, are you able to do that in this competitive environment? Or maybe saying it in a different way, how do you hope to maintain gross margin if your cost are going up and your selling prices aren't?
Brian J. Magstadt: Arnie, it's Brian. That -- it would be a pretty tough situation to increase prices. But if we've got some really significant increases on material, we would have to take a hard look at that. But given competitive pressures today, we believe that we would, in all likelihood, be holding those prices steady.
Operator: And our next question comes from Garik Shmois at Longbow Research.
Garik S. Shmois - Longbow Research LLC: First is a more or less a housekeeping question with respect to general and administrative expenses. They start to come down towards the back half of last year, and now they moved back up a little bit sequentially to around $26 million. Just wondering how we should think about those expenses in 2013 compared to 2012?
Brian J. Magstadt: Garik, this is Brian. I think we ought to be seeing some -- I wouldn't call significant changes in those line items, I mean, there are some variability based on profits regarding the cash profit-sharing component. But items such as the software development cost that Karen mentioned, some other general SG&A, we believe would hold fairly steady in that regard as far as the fixed costs go.
Garik S. Shmois - Longbow Research LLC: Okay. So modeling relatively flat year-over-year isn't a bad assumption?
Brian J. Magstadt: Right, other than -- again, we've got to make sure that there is a bit of variability when it comes into sales and commissions and such that do change with volumes. But I would say that a pretty good amount of that cost will be pretty steady.
Garik S. Shmois - Longbow Research LLC: Okay. And then, the second question is a bit more higher level. As concrete products continue to gain share, as part of being -- a bigger part of your mix, while the margin spread is narrowing, think of it as generally, a lower margin product line? Now how should we think about the impact on mix over the next several years, concrete versus wood? Mainly is there -- what I'm getting at, potentially a structural negative mix component margins when looking out as concrete becomes a [indiscernible]?
Karen W. Colonias: So, this is Karen, let's me see if I can answer that one. We are continually working on improving our margins on our concrete products. We are starting -- and the reason we can do that is because we have products which are highly specified and we can differentiate them. So that helps us from the selling price standpoint. So as we look at the products that we're adding to our concrete line, we are not adding commodity type products, we are adding proprietary type products. So over time, that will help us on that gross margin expectation that we're seeing from that concrete line. As far as the mix of products, the concrete types of products, although many of those are sold in the residential market, most of our opportunities for our new product lines are in the commercial market. So the mix of wood to concrete is really going to be a function of that mix of residential multifamily wood construction to what we see as commercial concrete infrastructure projects. But I would reiterate again, we are certainly working to improve that margin expectation and we are starting to see some positive steps in that direction on those concrete products.
Operator: [Operator Instructions] We'll take our next question from Robert Kelly of Sidoti.
Robert J. Kelly - Sidoti & Company, LLC: Just a question on the competitive arena and the price reductions you saw or compared to last year. Are they in the highly specified differentiated products that you sell into the wood connector market? Or is it a -- or are you feeling it in concrete construction? Just maybe a little more help on where the price competition is being felt.
Karen W. Colonias: Robert, this is Karen. I would say that competitive pricing is always felt in all product lines. But we're probably under a little bit more pricing competition from our wood product lines. We've mentioned the Lowe's example and certainly, our sales people at our branches are working very hard every single day with all of our customers, so that we can really justify really our price difference. And it's more than just the price of our product, it's certainly the service behind that product, both inside and outside sales, it's the engineering support, it's the training that we provide. And so we are working very hard on a daily basis to really differentiate our particular product line both in concrete and in wood, and there's a lot more behind than just the product that people are holding in their hands. And so we spent our sales force spends a huge amount of time working to make sure that the customers understand that there's more than just the product, but there's a lot of Simpson support behind that product.
Robert J. Kelly - Sidoti & Company, LLC: Right, understood. So even with all that, you've historically been able to charge a pretty nice premium in the wood connector market, that premium has been narrowed a little bit compared to your peers? I mean, is that the way to think about it?
Karen W. Colonias: Yes, I think that's a reasonable statement.
Robert J. Kelly - Sidoti & Company, LLC: And then, I mean, ideally, you'd want to kind of duplicate what you've done in wood connectors on the concrete connection side. So how do we get there? Is there a way to specify concrete construction products to the degree that you've done so in the wood connector market?
Brian J. Magstadt: Yes, we certainly, again, we have a sales force that focuses on that commercial side of the concrete products. We're calling on specifiers, we're testing systems approaches on these products that we have, so we can provide the specifiers a complete picture of our of products perform. We've got marketing information that helps both the customers from the specifiers standpoint, as well as installers and distributors to become very familiar with our products. So it is a very, very similar model. And as I mentioned, we're always looking for ways of differentiating our product so that we can have that better pricing point.
Robert J. Kelly - Sidoti & Company, LLC: One follow on and it's on the wood connectors side. For a while, you were able to kind of compete against, maybe you can characterize it as a disengaged rival. That rival's not been acquired, but I guess, a more engaged competitor. Is the price reductions or the competitive pressures you're feeling just the function of having a more engaged competitor back in the market? Or is it some bigger threat?
Karen W. Colonias: No, I would say that the more engaged competitor that's maybe not quite all of the standards behind that we have, but is may be leading with price is where we're seeing some of this pressure.
Operator: And your next question comes from Trey Grooms with Stephens.
Trey Grooms - Stephens Inc., Research Division: Just -- most of the questions have been answered, but just real quick on the operating expenses. Kind of going forward with where we are with the acquisitions, do you guys see some of the operating expenses, sales and marketing and R&D, as far as like a percent of sales, do we -- should we expect those to kind of come in some as we look forward? Or it's this a pretty good run rate? Can you give us some guidance on kind of how to think about the OpEx, operating expenses, going -- as we look forward?
Brian J. Magstadt: Trey, this is Brian. We've got a lot of expenses in there that we would expect to continue at the run rate, but we don't have necessarily all the revenue that's going with that. So as we add in the additional revenue from those businesses, we should see the percent of sale for those expenses to go down.
Trey Grooms - Stephens Inc., Research Division: Okay. So there might be an opportunity as we go through this year to see a little bit more leverage on OpEx is, I guess, the way to take it?
Brian J. Magstadt: We would expect that, yes.
Operator: Our next question comes from Howard Smith.
Unknown Analyst: I apologize if I missed this but I was wondering if you could talk about your China operations a little bit? Maybe a little more -- a little detail on when you think -- will you get some meaningful contributions from it?
Karen W. Colonias: Yes. I think as we've mentioned in our reports that we're seeing revenues up in China. We certainly have the opportunity with some of these acquisitions to have a bigger product line that we're selling. We are a ways away from seeing profits from that bottom-line profits from that -- from those -- from that area, but we now have both products that give us, again, a bigger portfolio to go after a more sizable area there.
Unknown Analyst: And do you have everything in place? Are you happy way the personnel and everything? I know you're -- going back a few years, there were some movement involved with getting the right people into place.
Karen W. Colonias: Yes, we have a good solid sales force that's been in place and certainly, we have the infrastructure from the standpoint of the marketing and accounting and that group and in engineering. We've also done a very nice job in our manufacturing facility in Zhangjiagang, that -- they manufacture our mechanical anchors and again, they're doing a good job there. So I think overall, we're seeing some definite positive steps with our China operations.
Operator: And our next question comes from Arnold Ursaner with CJS Securities.
Arnold Ursaner - CJS Securities, Inc.: I wanted to try to spend another minute or so talking about S&P Clever? I'm looking at your European sales, which were down, and I know S&P Clever is more focused in Europe, profitability down. What is -- what are you seeing in S&P Clever, and just remind us of the investment you've made to build out the sales force?
Karen W. Colonias: So the S&P Clever operation is definitely a European operation. As I mentioned, we're expanding that product line this year, we expanded that into the French market. We have -- that was a very well-organized business with a good sales force located in each geographic region. We have added sales force to the French region and we have added some accounting people at some of our other locations. We are very well -- we've also added, by the way, a couple of engineers to support that more in the Swiss operations. So at this point, from a build out of the employees, we're in pretty good shape to take us through 2013.
Arnold Ursaner - CJS Securities, Inc.: Well, fiber-reinforced polymers, FRP, has been a pretty good area when you bought it, very high margin. I'm trying to look at your European results given what hopefully would've been a much more positive benefit from that, obviously, Liebig is in there. Again, can you give us a little more color on what is actually happening? Is it continuing to grow?
Karen W. Colonias: Yes, when you think of S&P, again, you need to think from the building standpoint. Many of their products are asphalt repair and restoration. And so if the roads are covered with snow, it is not possible to do those -- some of those projects. Some of their projects that they had booked for first quarter have been pushed back into second quarter because those roads were under snow. Also, most of their -- the fiber-reinforced polymers are used for buildings and bridges. Again, depending on conditions of those buildings and bridges, the location, if they're in conditions where they're again under snow or in ice conditions, they cannot do those repairs. So they were certainly hampered by the weather that we saw in Europe.
Arnold Ursaner - CJS Securities, Inc.: What is your expectation for the year for that segment? Or for that part of the business?
Karen W. Colonias: We're expecting S&P to be definitely have a little bit of an impact hit from the European economy. So I think they're scheduled to be flat to slightly up from what they did last year.
Operator: And your next question comes from Barry Vogel.
Barry Vogel: Brian, I want to ask you about the utilization rates for the North American wood operations. Can you give us some color on that?
Brian J. Magstadt: I think they were, the factories, may have been a little less busy this Q1 versus last Q1. This is the time of the year where they're ramping up for the busy spring and summer selling season. So they're still fairly busy and we will expect, as we always do, in Qs 2 and 3, a little better utilization of the factories. But I don't know if there's been any real significant change there. I think just a little bit.
Barry Vogel: Can you give us an idea of what the utilizations for those rate was in the first quarter of '13 and '12?
Brian J. Magstadt: No, Barry, I can't.
Barry Vogel: Okay. I have another financial question. The outlook for Europe, you lost, on an operating basis according to your press release, $4.2 million, and I know weather affects you at that time of the year anyway, and the weather was worse this year than last year, affecting you more. Can you give us some idea of -- I don't know, a range of where you think, notwithstanding unusual items, hopefully there won't be too many of those this year, what the operating loss might be for the year, in a range?
Brian J. Magstadt: Well, we think it will -- it should be better than last year just because we've removed $4 million to $5 million of Liebig losses. I don't know that -- if I'm allowed any -- to be able to say more than that at this point.
Barry Vogel: Although those Liebig losses are unusual, and the fact that they're gone now?
Brian J. Magstadt: That's right. So...
Barry Vogel: So last year if you took out the Liebig losses, it wasn't a terrible year in Europe. In fact, I think you had a slight operating profit if you took out all the unusual items plus the Liebig losses, you might have been, let's say, breakeven in Europe last year.
Brian J. Magstadt: I would expect us to -- I mean, I'm not -- I'm just really not sure right now of what to expect. I mean, I would think that we ought to be fairly comparable on that basis.
Barry Vogel: That will be very flat, that would be flat. That wouldn't be a big loss.
Brian J. Magstadt: Well, we're still going through pretty tough -- some pretty tough economies over there, some of our countries are -- that we operate in there are having some fairly difficult economic situations. So we're trying to work through that. But I would think that ex Liebig, being comparable last year would be about right.
Operator: [Operator Instructions] It appears we have no further questions at this time.
Brian J. Magstadt: Thank you very much.